Operator: Good morning everyone and welcome to the Sealed Air Conference Call discussing the company s First Quarter 2009 Results. This call is being recorded. Leading the call today, we have William V. Hickey, President and Chief Executive Officer and David H. Kelsey, Senior Vice President and Chief Financial Officer. After management's prepared comments, they will be taking questions. (Operator Instructions). And now at this time, I'd like to turn the call over to Amanda Butler, Director of Investor Relations. Please go ahead, Ms. Butler.
Amanda Butler: Thank you, Lisa. Good morning everyone. Before we begin our call today, I'd like to remind you that statements made during this call stating management's outlook or predictions for the future are forward-looking statements. These statements are made solely on information that is now available to us. Our future performance may be different due to a number of factors. Many of these factors are listed in our most recent annual report on Form 10-K. We've also posted supplemental financial information and reconciliations of non-U.S. GAAP measures that we expect to discuss on our website at sealediar.com in the investor information section, under quarterly results. And now, I'll turn it over to Bill Hickey, our CEO. Bill?
William V. Hickey: Thank you, Amanda. Good morning everyone. I'm Bill Hickey, President and CEO of Sealed Air Corporation. With me on the call today in addition to Amanda, we have David Kelsey, our Chief Financial Officer. During today's call, I will provide a few highlights on our business performance in the first quarter and will also discuss our 2009 guidance. Dave will then discuss details of our financial results. And after Dave's remarks, we will take your questions. Our first quarter diluted earnings per share of $0.33 excluding the $0.01 charge for our global manufacturing strategy, reflected not only the benefits from stabilizing input costs, but also from the tremendous efforts of all our employees in this very difficult environment. Our stringent control of expenses and our management of price mix, combined with the benefits of our 2008 cost reduction and productivity program and our global manufacturing strategy all made measurable contributions to our first quarter performance. These actions are particularly noteworthy in the face of declining market demand. Our efforts resulted in a 300 basis point increase in our gross profit margin, a 3% increase in operating profit and a 220 basis point increase in our operating margin. We accomplished this despite a 7% decline in sales excluding foreign currency exchange and a 12% decline in unit volumes. Both of these elements are due to slow economic conditions and a cyclical decline in animal production in the food packaging supply chain, not a change in our market position. Decline in unit volumes occurred in all regions and all businesses except in our Asia Pacific food business. Going into the quarter, we had anticipated volume declines due to the continuing weakening economic conditions and the forecast for a decline in animal production in the first half of 2009. However, the decline in industrial output in the first quarter exceeded our expectations, which drove lower unit volumes than we expected in our Protective Packaging and Specialty Material businesses in North America and in Europe. Having said that, our quarterly volume performance in these businesses appears to be generally in line with shipping proxies in the quarter and we have not seen any further destocking activity among our customers. Despite the volume challenges, we were successful in managing price mix in most of our businesses and across all regions, which resulted in a 4.2% or $49 million growth in price mix in the first quarter. We have maintained pricing in most of our products, but have lowered prices in a couple of product categories to meet certain competitive situations in selective regions of the world. In addition, we have opted to strategically walk away from some business to protect our margin performance, which did have a small additional unfavorable impact on our unit volumes. Our traditional growth areas faced challenges in this quarter due to business conditions. Case-Ready and vertical pouch packaging sales declined 9% and 4% respectively. However, these numbers do include the unfavorable impact of foreign exchange. Geographically, developing region sales did rise by 2%. Growth would have been higher if we were not for a 10% decline in sales in Brazil due to credit constraints facing meat processors and a slowdown in their beef exports to Europe. Additionally, an 18% decline in sales in China due to the rapid decline in local manufacturing and exports in the quarter contributed to the reduced growth rate. On a brighter note, Latin America excluding Brazil rose 17% and in Poland and Russia, we saw a slowdown in the rate of growth, but did achieve sales increases of 20 and 10% respectively. These figures exclude the impact of foreign exchange. Looking at the segments in a little more detail, I would like to quickly highlight a few additional points. In our food packaging segment, we anticipated the decline in sales and unit volumes in the quarter due to the factors I previously mentioned. Our team worked terrifically to achieve a $29 million increase in product price mix. At retail, we saw meat consumption hold steady in most regions except in Europe as well as the trend of consumers eating more at home and seeking out value cuts of meats. Looking ahead, this segment expects comparable week animal production rates in North America in the second quarter which will increase seasonally as we enter the summer barbeque season. We are also expecting ongoing strength in U.S. beef exports to Asia, particularly South Korea and Vietnam. We expect these benefits to be largely offset by ongoing weakness in Europe and in Brazil as both regions are being unfavorably impacted by weak economic conditions and meat demand in Europe. We expect that the net effect will be a low single-digit percent decline in unit volumes for the full year in this segment. Looking at our Food Solutions business, we experienced a 5% decline in unit volumes, which included the residual effect of a previously announced change in packaging format by a retailer as well as a significant slowdown in the food service sector. Although the change in packaging format had officially lapsed in the fourth quarter of 2008, one remaining product is still transitioning through April of 2009. Excluding this impact, volumes would have been essentially flat in North America and the segments volume decline would have been 3%. The European market contrasted with North America as meat consumption in Europe continued to decline due to economic conditions, resulting in a 10% decline in unit volumes in that region. Our business did see some strength in products associated with the global eat-at-home trend in both North America and in Europe. We saw an uptick in our Pizza packaging solutions and doubled our first quarter sales versus prior year in our new Case-Ready format, Mirabella in Europe. Outside of Europe, we achieved a 30% increase in our microwaveable Simple Steps solution in North America. Looking ahead, the market had shown signs of stabilization with no new destocking, but also has not shown any real signs of recovery. As such, our Food Solutions team will remain focused on numerous pilot tests that are ongoing with our new Food Solutions worldwide. And we anticipate sales performance excluding the impact of foreign exchange to be relatively flat year-over-year for the full year. We do anticipate some risk in price mix that one might typically see in this kind of environment. Protective Packaging was the one area of the business that was most impacted by reduced manufacturing levels and weak retail sales. The business appeared to track at about the same rate since the end of the fourth quarter 2008, suggesting that the market may be close to leveling out. However, we're not seeing any signs of a recovery. Overall, volumes declined 22%, primarily in North America and Europe, although we saw declines in volume in our developing regions as well. Manufacturing zones like the Makiladora on along the Mexican-U.S. border and Asian export markets also saw production rates slump in the quarter due to economic conditions. To date, our Protective Packaging team has been holding our market position. And one interesting note is that despite the rough and challenging market, we added more new customers in the first quarter in North America than we did in the same quarter in 2008. Part of that reason is the slowdown has given people more opportunity to look at new total cost solutions in which we specialize. And secondly, our sales people are now out calling new customers rather than pursuing price increases as they have done for the last two years. Despite the downturn in volumes and a limited number of price concessions, we were successful in maintaining positive price mix in the first quarter. Looking ahead, again, we're not expecting a quick recovery in this segment. And our focus will be to continue to bring economically measurable value to our customers to offer them a complete line of solutions and manage price mix. And lastly, our other category saw sharp declines in volumes, largely due to a 44% decline in unit volumes of our Specialty Materials business. Like Protective Packaging, Specialty Materials was adversely impacted by a slowdown in manufacturing export activity worldwide. And in addition, our Specialty Materials business does sell to construction, automotive and housing markets. An additional unfavorable impact from these conditions is that the business continued to use Ethafoam inventory that was previously manufactured under our interim supply agreement with Dow; thus, negatively impacting our operating margin in that business. At current sales rates, we anticipate working through this inventory by the end of the summer and then we will shift to internally produced products. Before I hand the floor over to Dave, I'd like to discuss our full year 2009 earnings guidance. Despite lower volumes in our Protective Packaging and Specialty Materials business in the first quarter and our expectations for ongoing weak global conditions through at least the third quarter, we are maintaining our full year 2009 diluted earnings per share of $1.17 to $1.37. This includes a charge of $20 million net of taxes or $0.08 per share expected to be incurred relating to our global manufacturing strategy in 2009. Excluding this charge, the full year 2009 diluted earnings per share guidance continues to be in the range of $1.25 to $1.45. It is important to note that we have updated our assumptions to reflect a mid single-digit percent decline in unit volume growth and the benefit of lower operating expenses. Our assumptions regarding total year average resin cost, our capital expenditure range, foreign exchange rates and our full year effective tax rate which we outlined in our fourth quarter earnings press release, have not changed. In addition, we remain on track to deliver benefits of $115 million in 2009. Despite this quarter's margin rebound to pre-2008 levels, continued progress will be achieved one day at a time. We remain focused on our plan of stringently controlling costs, managing price mix, benefiting from our supply chain initiatives, and we will focus on solid cash flow generation. Now I'm going to turn the call over to Dave Kelsey to review some additional details of our financial performance and our liquidity position. Dave?
David H. Kelsey: Thank you, Bill. As Bill mentioned, our sales were $988 million for the quarter. For those participating in the call who would like additional detail, tables posted on our website, sealedair.com, present the components of the change in net sales by business segment and by geography, the impact of foreign currency translation on sales by geographic regions and the percentage of sales by geographic region. As you saw in our financial statements, gross profit was $286 million, a decrease of $19 million in the first quarter compared to the prior year. Our lower sales volume, particularly as Bill mentioned in the Protective Packaging segment, was the primary contributing factor. Excluding foreign currency translation of $23 million, gross profit would have been $309 million, higher than last year by approximately $4 million. Marketing, administrative and development expenses decreased $20 million in the first quarter compared to the prior year. On a constant dollar basis, operating expenses were $178 million, lower by $8 million or a decrease of 4.5% as compared to the prior year. Savings from our cost reduction and productivity program and lower travel expenses both contributed to the year-over-year decrease in spending. Bad debt expense, which gets recorded in this section, was approximately $3 million or $2 million higher than our expense in the first quarter of 2008. Operating profit was $120 million or 12.1% of revenue. When we exclude expenses of $3 million related to our global manufacturing strategy as well as restructuring and other charges, operating profit increased to $123 million or 12.4% of revenue. On a year-over-year comparison, foreign currency translation had a significant impact on our operating profit. Excluding the effects of foreign currency translation and the effects of GMS, restructuring and other charges, the operating profit for the first quarter would have been $135 million or 11% higher than the prior year. Interest expense decreased $1.5 million in 2009 as compared to 2008. The April 2008 retirement of our 5 3/8% note and the December 2008 call of a portion of our 6.95% notes were offset by interest on our new 12% notes, which we borrowed in February this year. In the first quarter of 2009, we recorded charges of $3 million related to the implementation of our global manufacturing strategy. We still expect to realize incremental benefit of $20 million in 2009, bringing our cumulative benefits to $45 million, increasing to $55 million in 2010 and thereafter. Reviewing our 2008 cost reduction and productivity program, we realized approximately $13 million (ph) of savings in the first quarter. These savings were split between our cost of sales and operating expenses. We still expect annualized savings from this program to be between 50 and $60 million. From a cash flow perspective, we made cash payments of approximately $15 million in the first quarter for termination benefits. These cash payments related -- the total cash payments related to this program have been approximately $32 million. The majority of the remaining payments will be made during the balance of this year, less than $5 million falling in 2010. I'll conclude with some key balance sheet and cash flow items. Our accounts receivable declined $45 million from December 31, 2008. In the quarter, we did not sell any receivables under our accounts receivable securitization facility, retiring the $80 million that we had outstanding at year end. On a constant dollar basis, accounts receivable would have decreased approximately 7% compared to March of last year. We consider ourselves to be well prepared to manage our receivables balances in the current economic climate. Our day sales outstanding or DSO were lower at March 31st than at both December 31st and March of last year. Credit and collection is one of many noteworthy efforts in the current economy. We've experienced no appreciable increase in the percent of our receivables that remained uncollected at their contractual due dates. Inventory investment at March 31st declined $15 million during the quarter. This decline is attributable to a decrease in inventory held outside the U.S., primarily due to foreign currency translation. Further contributing to the decline since the start of the first quarter has been a successful effort to reduce inventories in our U.S. food segment subsequent to the July 1, 2008 go-live of SAP in those businesses. Compared to March 31st of last year, inventory investment was down $94 million or $11 million after adjusting for foreign currency translation. Total borrowings at March 31st were $1.776 billion, up $297 million from the end of December, primarily due to the issuance of our 12% senior notes in February. As a reminder, in a few weeks, we'll be using a combination of available cash and short-term committed lines of credit to retire the remaining $137 million of our 6.95% notes when they come due. While capital markets have improve over the course of the first quarter, the environment is not yet stable. Thus, it seems appropriate to comment on Sealed Air's liquidity position. First, at March 31st, we had $426 million in cash and cash equivalents. In addition, we have access to over $600 million of committed borrowing capacity. Free cash flow, one of our key metrics as a management team, gets close attention. As shown in the supplementary information furnished with our financial statement, free cash flow for the first quarter was $160 million compared to a use of $1 million last year. As I've stated previously, our accounts receivable and inventory investment levels were a source of free cash flow during the quarter. Capital investment will be lower in 2009 as work is completed on our three new plants in emerging markets. So we currently expect 2009 capital spending to be in the range of 100 to $125 million. This will return our capital investment to the levels that we made annually in the early part of this decade prior to commencing investments for our global manufacturing strategy. The capital we do invest will be for a combination of maintenance and growth projects. Our cash flow projections suggest that we have sufficient liquidity to fund operations and the Grace settlement, should it become payable, later this year. However, there is still no date certain for the funding and the settlement and it is conceivable such a funding won't occur this year. In the meantime, we will continue to access conditions in the capital markets. Should a date become certain to fund the settlement, we will be prepared. We will also access opportunities to refinance the $431 million of convertible notes that have an initial put date in June of 2010. Now I'll turn the call back to Bill and to your questions.
William V. Hickey: Thank you, Dave. Operator, I would now like to open the call up to any questions from the participants.
Operator: (Operator Instructions). Our first question comes from George Staphos with Banc of America Securities. Please go ahead.
George Staphos - Bank of America/Merrill Lynch: Thanks, hi guys, good morning, thanks for the detail. The two questions here. First off, Bill, as we look at the first quarter performance and the guidance for the year, is the simple take that price mix, which you did a very good job on in the quarter, sequentially declined and is offset by the continued ramp and the (ph) operational costs, GMS, restructuring savings? And the second question is are you seeing any intensifying in competition at all, whether it's in Protective Packaging or even in the fresh case in recent weeks or recent quarters? Thanks.
William Hickey: Let me come back, let's start with your first question, George, on trend of price mix versus the other cost savings coming through. I think that's a reasonably good way to look at it. Price mix was good in the first quarter. You get the delta as you go through the year because price increases begin to lapse. And obviously, in a competitive market like there is today, you probably can see some of that over the ensuing quarters. But as we say, one of the things, Sealed Air has done extremely well is to manage the downside of the cycle to more than offset the cost on the upside of the cycle. And there is no reason why we are not going to do that again. As far as your second question on competitive landscape, there has primarily been a pickup on the Protective side of the business. I think that's because you have a fixed amount of capacity competing for kind of a fewer amount (ph) of demand.
George Staphos - Bank of America/Merrill Lynch: Right.
William Hickey: And unfortunately, market share has been a primary focus of some of our competitors. However, I am not convinced how sustainable that strategy is in lieu of the debt levels and some of the covenants that a number of our competitors have on the Protective side of the business. So it doesn't change our game plan; it just keeps us sharper on our feet. On the food side, competition has remained relatively steady.
George Staphos - Bank of America/Merrill Lynch: Okay. Thanks Bill.
Operator: Our next question comes from Rosemarie Morbelli with Ingalls & Snyder.
Rosemarie Morbelli - Ingalls & Snyder LLC: Good morning all.
William Hickey: Good morning.
Rosemarie Morbelli - Ingalls & Snyder LLC: And congratulations actually for a pretty good quarter given the environment. Is the gross margin improvement at this particular level sustainable and actually better yet? Do you expect sequential improvement even though it is substantially higher than what I expected for the first quarter?
William Hickey: Well I think, Rosemarie, if I could tail back that to the... continue the answer I gave to George on the last question is clearly in the first quarter, we had the benefit of the max of the price increases and the trough of the resin costs. So clearly, that's a high number. Now we will manage that as we go through the cycle. And obviously, our price increases will lapse as we go forward. But there is no reason at this point why we shouldn't have -- be able to maintain higher margins in 2009 than we had in 2008 on an overall basis.
Rosemarie Morbelli - Ingalls & Snyder LLC: All right. So what you're really saying is that sequentially, we are not necessarily going to see an improvement and we could actually have slightly lower margins because of the dynamics you just talked. Am I reading this properly?
William Hickey: Well I wouldn't look for as significant an expansion in margins going forward as you saw in the first quarter.
Rosemarie Morbelli - Ingalls & Snyder LLC: Okay. And if I could ask my second question, what could be the potential impact from the swine flu as it seems that export curtailment are being talked about by Europe and other countries?
William Hickey: Right, right, sure. I figured I could get by the second person without a on -- actually, it's H1N1 flu, because my customers -- our customers in the pork industry do not like the name. They feel that it has not been properly characterized. So I refer to it as H1N1 or North American flu.
Rosemarie Morbelli - Ingalls & Snyder LLC: I am writing it down.
William Hickey: Yeah, because actually, it is not connected with eating pork or with pork products. And as a result, there is really no reason to ban pork exports or to reduce consumption of pork products.
Rosemarie Morbelli - Ingalls & Snyder LLC: It doesn't mean that it's what people are doing, though.
William Hickey: Right, right. Then actually some of our customers have seen a drop in the last couple of days. But hopefully, reason will prevail. I believe the U.S. Department of Agriculture has come out clarifying that there is no risk from eating pork or pork products. Right now, the risk is probably contact with other people. We have not seen an effect on our business as of now. You are correct in that there have been some reduction in imports. I think Russia has said they are banning -- trade restrictions on pork out of Mexico as well as six states. Most of our U.S. customers feel that they are qualified to export pork. Japan, who is a large global importer of pork, was going to ban imports of pork; but upon reflection of the facts, actually changed its decision. China is reportedly not concerned and has been putting out positive information to consumers. The rest of the export market appears relatively stable. What limitation there have been have been on pork coming out of Mexico and pork coming out of a couple of states in the U.S. And our estimate is that could be up to 3% of our business at this point. So, obviously, we're continuing to watch the situation and monitor as it goes along. In fact, we have a call this afternoon after our earnings release to just get an update on the situation, H1N1 around the world. In the meantime, we probably will see increases in purchases and shipments and consumption of beef and chicken as those consumers who may incorrectly decide not to purchase or eat pork will likely buy beef or chicken as an alternative.
Rosemarie Morbelli - Ingalls & Snyder LLC: Okay, thanks a lot.
Operator: Our next question comes from Richard Skidmore with Goldman Sachs.
Richard Skidmore - Goldman Sachs: Good morning, thank you.
William Hickey: Good morning.
Richard Skidmore - Goldman Sachs: Bill, you made the comment about walking away from some business. Could you just clarify which segment that's in and what the total impact might have been? And then a follow up to that is as you go forward into the second quarter, is that a trend that you're going to continue?
William Hickey: Yeah, it's primarily Protective and Specialty which tend to be the parts of our business that are more sensitive to polyethylene pricing. And so some competitors have really very, very quickly moved with the polyethylene price decrease that happened earlier in the quarter in the marketplace. It's a relatively small amount. It's something we've done selectively. You may have heard Dave mention it a year or two ago in Europe where we deliberately made a move to improve the profitability of our European business and probably walked away from 5% of our business in Europe. It's not on that scale in the U.S., but we just felt it was important to let you know that that was part of the volume decline.
Richard Skidmore - Goldman Sachs: So of that 20% decline in volumes in Protective, it's 1 or 2% at most?
William Hickey: A couple of percent. It's a couple of percent.
Richard Skidmore - Goldman Sachs: Okay. And is that something that you're going to continue to be doing as you go forward?
William Hickey: Well I think we'll look and see what happens in the marketplace. We'll see what happens to -- actually, raw material inputs for those of you that follow, would actually tick up a little bit at the end of first quarter so that we think holding pricing was a reasonable thing to do. And we'll watch what happens to raw materials as we go through the rest of this year. But they're up a little bit from where they started the year at. And obviously, the competitors who jumped the gun are probably feeling a little bit of pain.
Richard Skidmore - Goldman Sachs: Thank you.
Operator: Our next question comes from the Claudia Hueston with JPMorgan.
Claudia Hueston - JPMorgan Securities: Thanks very much. Good morning. It was a strong cash flow quarter for you and it sounds like inventories were a big help there. Can you just talk about how you expect working capital to trend over the remainder of the year and how you expect your productivity initiatives to contribute to cash flow? And then maybe just comment on your priorities for cash.
William Hickey: Okay, let me pass it over to Dave Kelsey.
Claudia Hueston - JPMorgan Securities: Thank you.
David Kelsey: Clearly, the first quarter was exceptional. We not only got good cash flow from operations, but, in part due to the seasonal decline in sales we see in the first quarter relative to the fourth quarter last year and the slowdown the economy, we had much less invested in working capital. As we move through the year, I wouldn't expect to see any significant change in the cash coming from operating activities. And certainly, we expect to track to that 100 million to $125 million spending for capital items. In terms of working capital, I think a lot of the improvement is behind us in accounts receivable. I do think going forward, there will be some improvement in inventories, but nothing on the scale of what we saw in the first quarter. So I wouldn't expect to see any $160 million quarters of free cash flow for the balance of the year.
Claudia Hueston - JPMorgan Securities: Okay. And then just priorities for cash?
David Kelsey: Well, as I think you know, our operating activities tend to be self sustaining. Every quarter of the year, we do generate positive cash flow from operations. So there is other than some timing issues, if we have to make a large interest payment or the 137 million in debt that we'll be retiring in May, we don't tend to need to go into our working capital facilities to borrow. So that leaves as the big priority for the balance of the year the Grace settlement. As I mentioned in my prepared remarks, there is no assurance that that settlement is going to occur this year. But if it were to occur, we have adequate funds at our disposal to do the settlement.
Claudia Hueston - JPMorgan Securities: Okay. Thank you.
Operator: Our next question comes from Mark Wilde with Deutsche Bank.
Mark Wilde - Deutsche Bank: Good morning. Bill, I wonder if you can just talk a little bit about that volume decline in Protective Packaging. It was even a bit bigger than I expected. Was it a surprise to you that it's off quite that much?
William Hickey: Well, as I say, in my prepared comments, I said the volume drop-off actually exceeded our expectations from earlier in the year. But Mark, it's interesting, and I know you asked Amanda about comparing the shipments of corrugated boxes. But a couple of things that I should point out. One is the corrugated shipments in March are actually down 16%. Global air freight is down 20%. U.S. rail ex-coal is down kind of mid-20s. Interesting, Sealed Air there has built its business around the world. Let's not forget that half our business is outside the U.S. And in some of the developing parts of the world, particularly the export-oriented economies in Asia, we saw numbers drop 25, 30%. And if you really look at us as a better measure of industrial activity on a global basis, I'll really point to 3M, which released earnings a couple of days ago. And I believe in their press release, they reported their global volumes were down around 19.5 %. So I think that's kind of a better surrogate for the Sealed Air 2009 that really has got a global footprint with half our business in others parts of the world and increasing components of our business outside of the core U.S. corrugated box business. So I hope that helps you understand it, Mark.
Mark Wilde - Deutsche Bank: That's very good. And if I could just as a follow on, Bill, in the two food businesses that you're in, you've mentioned you had seen a slowdown in meat consumption over in Europe. Are you seeing any other kind of changes in consumption patterns in either the developed markets or maybe in the emerging markets like China with the slowdown in the economy?
William Hickey: Well, in Brazil, we've seen a little bit of contraction in domestic demand in Brazil. And we've also seen a movement to kind of cheaper cuts in the same animal. Actually, ground beef is doing obviously, in this economy, ground beef is doing a lot better than T-bone steaks. So that we're seeing across the world.
Mark Wilde - Deutsche Bank: Okay. But no slowdown in terms of China perhaps?
William Hickey: No, actually -- now, China has reduced its imports of pork, but that's primarily because their herd is recovering. If you recall, they had that blue ear epidemic a year, year and a half ago, and they actually were importers of pork. But they're building their herd back up, so their pork imports are actually down. No dramatic change in consumption, but probably not as quick a growth in this economy either.
Mark Wilde - Deutsche Bank: Okay, that's helpful. Thanks.
Operator: Our next question comes from Peter Ruschmeier with Barclays Capital
Peter Ruschmeier - Barclays Capital: Thanks. Good morning.
William Hickey: Good morning.
Peter Ruschmeier - Barclays Capital: Just wanted to clarify, coming back to Protective Packaging. I believe you said down 22%, but leveling out, but not necessarily an upturn. And yet, I think you said you thought the inventory destocking was over. So I was just hoping you could clarify, if the inventory destocking was over, I would think that you'd have a noticeable upturn in your volumes.
William Hickey: Well let me go back and say the actual down number is down 20%.
Peter Ruschmeier - Barclays Capital: 20%.
William Hickey: Down 20. And I'd like to say it this way is that the customer behavior seemed to be kind of bouncing along the bottom. There is no incentive to rebuild inventory because manufacturing output is down. And everyone is sort of holding on, waiting for it to recover before they turn on the next machine. It's interesting. We did a look at our top 50 customers in our Protective business. And we didn't lose a single account in those top 50 customers, but all of them were down in the 20, 20 plus percent range depending on the company, the industry they were in and the part of the country they are in. And we really don't see that turning on the machine and manufacturing their product and then calling us for the packaging. We've got three to five day lead times, so we're pretty close to what actually happens. And they are running on a substantially lower inventory level than they had before.
Peter Ruschmeier - Barclays Capital: And just to elaborate, Bill, if I could. So if we're expecting flattish demand going forward at this depressed level, presumably, that means we should, knowing what we know today, continue to see those kinds of year-over-year declines, is that fair?
William Hickey: Actually, it will lapse again. Obviously, you get to the point where third quarter where it began to go down last year, you will see that decline lapse. I mean you will see it lesser. And then obviously, by the time you get to the fourth quarter, assuming it hasn't recovered, you will see it flat, slightly up. But I am still a green sprout person that somewhere along the line people are going to run out of things and they are going to have to go out and buy them. And they will turn on that machine and the orders will come in, just in --
Peter Ruschmeier - Barclays Capital: Thanks very much, Bill.
Operator: Our next question comes from Al Kabili with Macquarie.
Al Kabili - Macquarie Capital: Good morning. A question on the cost savings. I may have missed it, but the 13 million, does that include the restructuring plus the GMS and do you expect this to just layer in linearly throughout the year?
William Hickey: Dave?
David Kelsey: Yeah, the 13 million from the cost program which was the major head count reduction initiative that we've launched last summer is expected to be in the range of 50 to $60 million for the year, so $13 million is a pretty good run rate, we did have some employees who didn't apart until the first quarter this year, so that number should pick-up marginally, but there are also decent back, so as some critical positions get restart. So, I don't think a big change from that current run rate. And just to clear, I'd like to emphasize that those savings occur in both cost of sold and in our marketing administrative and development expenses. So you need to think about that is on the order of 50:50, 60:40 split in savings.
Al Kabili - Macquarie Capital: Okay. And to clarify on the GMS savings, is there how much do you think could be at risk of the 20 million if volumes don't start to recover?
David Kelsey: Well, right now, we're not backing off of that expected level, and we make a point of referring to those as benefits as opposed to savings because we are loading up these new facilities at some of our lowest cost facilities globally. And so that's still our guidance, Al, is for $20 million of incremental benefit out of the global manufacturing strategy.
Al Kabili - Macquarie Capital: Okay. And then second question, big picture, Bill, clearly, focused on cost controls through the challenging economic environment. What are some of the things you're doing now to position yourself for next year to hopefully take advantage as volumes recover?
William Hickey: Well I think, Al, a couple of key points is one, we're continuing to invest in R&D. I mean we still have an active pipeline of new product development. We actually have a couple a new products coming out in the second quarter. We actually are as you heard me say in my prepared comments calling our new customers. One of the phenomena which I've seen in our earlier downturns which I really leave is going to occur this time is, as I've said, we saw our top 50 customers, their volumes fall off. We think, we are also seeing that our sales people have called on more new customers in the first quarter of '09 than in '08. So what actually happens is when economy begins to turn upward, we get those existing 50 customers start to come back to more normal levels and you get the benefits of the new customers we have been able to pickup during this period of slowdown. And you get kind of a double whammy effect on the upside. And we're doing everything we can to be well prepared for that. We're continuing with our GMS program and completing the capacity additions that we planned a couple of years ago. We're continuing our R&D pipeline and we're continuing our new product introductions and I think those are the right things to do for both the short-term and the long-term, so that when the economy recovers, we will be positioned to benefit.
Al Kabili - Macquarie Capital: Okay, thank you.
Operator: Our next question comes from Fritz von Carp with Sage Asset Management.
Unidentified Analyst: Yeah, I was wondering, I just wanted to go back to the general topic of inventory destocking. And I thought you might have some insight in your Protective business as to where various sectors are in terms of their own inventory destocking process, closer to beginning or closer to the end. Can you give me any color?
William Hickey: We sell to about 400 different SIC codes, and I'm not sure I can tell you particularly which ones are doing better or worse. I mean clearly, automotive and construction, anything relates to that side are really off the edge of the chart, so to speak. We've seen a lot of sort of the pumps and valves people. They are sort of kind of bottoming or bottomed, things like aircraft and aerospace excluding automotive -- transportation, excluding automotive are probably pretty well bottomed out as far as we see unless there is another leg. I mean it's a question whether this is a W or a U. I talked to someone the other day who thought it was a W. But I'm not in the W camp in terms of the recession. So overall, that's about as much color I can provide. On segments, geographically, I think Europe is in a deeper trough than the U.S. You heard me say in Latin America, excluding Brazil, our business was actually up kind of double digits. Business economies, segments are pretty well in kind of Russia and in Asia. And I know despite some of the concerns expressed in kind of the media about Eastern Europe and the financial institutions in Eastern Europe, you heard me say our business in Poland is particularly up kind of double digits. So that's really about as much color as I can provide at this level.
Unidentified Analyst: Thank you.
Operator: Our next question comes from Tim Burns with Cranial Capital.
Timothy Burns - Cranial Capital: Bill, David, Amanda, how are you?
William Hickey: Good, Tim. Good morning Tim.
David Kelsey: Good morning.
Timothy Burns - Cranial Capital: Good morning. When we think Food Packaging, I think a lot of people think of big carcasses or volumes of chicken traveling around the world. But are you benefiting at all from I guess more economic alternatives such as quick serve restaurants, meals ready to eat where you might be selling for instance some of your aseptic bags or your polypropylene trays and lids?
William Hickey: Tim, I think you are right. Our business -- I mean one of the reasons why we separate out the Food Solutions business from the core Food Packaging business was to focus on sort of the value added down stream components of Food Packaging and we're seeing that. But you've got to realize too, people are eating out less. So a lot of the pickup we saw in the last year or two are actually quite soft. In fact, they're down in mid single digits. But you heard we say in my prepared comments in the heat and eat category or the home meal replacement, or however you want to call it, the convenience food, our Simple Steps microwavable offering is up about 30%, which is an indication of people eating at home, yet don't want to go through the cooking process. So you can bring in simple entrée and they are priced in the 3.99 to 4.99, $5 category, and you can get a meal for three or four people in terms of the center of the plate. And that's had good volume. So I think as we watch this, the mid, the upper price out dinning out is probably down a lot, the low cost that you've seen in the McDonalds numbers and some other fast food, they are holding up reasonably well and doing well. And then they eat at home component whether it's ground beef, where we're seeing positive growth or the take home many. So I think your hypothesis is correct. They still are relatively a small part of our business, but it's one over the longer term as consumers focus more on convenience and eases their beatings that long term, we think it's a right place to be.
Timothy Burns - Cranial Capital: Sounds like my voice cooking, but the other question I had was, when you guys have these unfortunate, I don't want to call it catastrophes, but just shifting in the consumption of protein due to whatever, blue ear, N1H1, do you find that your skill set in moving around production has improved because of that? And is there less loss of profit as a result?
William Hickey: Tim, that's a excellent point. I mean, you said something that I have been thinking about, and maybe this gives me an opportunity to say it is that the footprint we have around the world and the capability our people have and the skill sets we have particularly with the new additions in China and Poland and Hungary and Brazil and the rest of the world. We have really got to develop a very flexible organization that can move on a dime. Our dime is pretty quick, but we can move reasonably quickly for the size organization to build on changes and pork not going to Mexico and going into China and chicken not going to Russia, coming out of Brazil. We manage that I think pretty. And I think that's a capability that I don't think anyone else in our space has. And I'll give you a little example because it gives me an opportunity. In Latin America, in Mexico with the H1N1 issue, I mean our Latin American group, our management in Mexico immediately jumped on the case. We've instituted extra hygiene procedures in our plan, the employees are washing their hands every hour, or you were sanitizing our equipment much more frequently. People are wearing face masks. I mean the way in which we've gotten accustomed to dealing with these changing catastrophes, the organization responds and responds well. And I really want to compliment our organization in Latin America and Mexico for responding as quickly as they have to what's happening in Mexico. And I think that's a capability that we've developed. I guess the hard way, Tim, going through a couple of these crises over the last 10 years.
Timothy Burns - Cranial Capital: Got you. Go Paz (ph). Thank you very much.
Operator: (Operator Instructions). And we have a follow-up question from George Staphos with Banc of America Securities.
George Staphos - Bank of America/Merrill Lynch: Thanks. Hey Bill. Bill, when volumes were down as much they are in Protective Packaging for understandable reasons, I guess it doesn't matter that much product by product. But I was curious if you think about the various subcategories within Protective, how have they been trending? Are you seeing Instapak holding up better or is it getting worse? What are you seeing in terms of inflatables and Bubble Wrap and that sort of thing to the overall average?
William Hickey: Yeah, I was just actually was looking at those numbers just before the call George. And probably, the Instapak business has been the one that's been sort of hurt the most. And that tends to protect the high end, high value shipments, heavily manufactured goods. And then Bubble Wrap a little bit less down than that. Actually, mailers are actually up a little bit; the mailers as replacements for corrugated boxes in terms of relatively compared to the rest of the business. And foam, the thin foams are pretty much down quite a bit, little around the Instapak range. And the thick foams, the plank, like the Ethafoam business, which goes a lot into computer packaging, construction insulation, and that's down in the 30% range. So there is a mix in that range going from down single-digits to down in the 30% range. And that 20 as you said is a composite number of them all. And obviously, each of our products serve a different segment, serve a different application, serve a different kind of channel. And so what you are seeing here is the total and the range is probably 10% either way.
George Staphos - Bank of America/Merrill Lynch: Yeah, but just given some of the things that you mentioned there before, it amplifies the benefits you got both from mix and also from productivity, cost reduction when you look at the mix with some of those product lines.
William Hickey: Okay.
George Staphos - Bank of America/Merrill Lynch: The other question I had is within Food Packaging, can you remind us again what product lines do you have now that are best situated to the consumer who is trying to get a meal from the supermarket, or meal replacement as opposed to eating out or preparing at home for that matter as well?
William Hickey: Yeah, that's primarily in the Food Solutions business and it's primarily the Simple Steps, which is the ready-to-heat meat. It's a vacuum skin entrée under a tray sold under a number of brands in the supermarket in the refrigerated component of the store.
George Staphos - Bank of America/Merrill Lynch: But for a retailer who is offering a product to the consumer to take home, what product lines we could be offering there?
William Hickey: I'm not sure -- you mean the put it in the microwave and heat meat, George, is that what --
George Staphos - Bank of America/Merrill Lynch: Exactly, exactly.
William Hickey: Yeah, that would be the Simple Steps. That would be the Simple Steps.
George Staphos - Bank of America/Merrill Lynch: Okay, thanks. I'll turn it over.
William Hickey: Okay, operator, we are running out of time. I do want a make a comment is that due to technical issues, we are not seeing any text questions which are sent in over the Internet. So if you have sent any questions in over the Internet, our vendor has logged all of those in and we'll be able to answer your questions offline or on our May 4th meeting which will be webcast. So I apologize that we have not been able to pickup questions that have been submitted over the Internet. You know, I always try to pick those up along the way. So please log those questions in offline. I do want to thank you all for participating in the call today. I would also like to thank all of our employees around the world who have really worked hard in the first quarter and made a lot of personal sacrifices to control expenses, at the same time continuing to offer our customers exceptional service. As a team, we are staying focused on improving our operating profit and cash flow from operations from the continued benefits of our productivity programs, our supply chain initiatives and our management of price mix. Even in challenging times, we are really excited about our future. We know our efforts will ultimately result in a more efficient and more agile organization. And we will be well positioned to accelerate sustainable growth to the organization once economic conditions improve. Thank you all again for taking the time to listen to us today. Thank you.
Operator: And that concludes today's teleconference. Thank you for your participation.